Operator: Thank you for standing by and welcome to the IGO Limited Third Quarter FY '25 Results Call. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Mr. Ivan Vella, Managing Director and CEO. Please go ahead.
Ivan Vella: Thanks Darcy. Hi everyone. Good morning. Thanks for joining the call. As usual, Kath Bozanic is with me, our CFO. But I'd also like to introduce, I know you can't see her in the room though, Shaan Beccarelli, Head of Corporate Affairs and IR. As you know, Richard Glass is taking a really exciting trip around Australia with his family for the next 12 months or so. And so he's probably sitting in Coral Bay hopefully not listening to this call. But anyway, we'll miss him, but Shaan stepped in and came up to speed very quickly. So you'll get to meet her in due course. We'll cover a few highlights and then get into some questions. I mean look overall, I think it was a solid quarter, some big change with exploration which I'll come to. But the foundations of the business are just starting to find some rhythm which is good. First, on safety. Look, the actual lagging results are still sort of flat and similar. There was a period of 60 days that we went without any recordable injury through February to early April which we're really pleased about. And there's been a lot of focus on this as you know from the team over the last 12 months and we're starting to see some strong progress there. We've launched a behavioral safety program called Taking Control of My Safety. It's getting fantastic feedback and pull from the team at site. That will be rolled out right across IGO. And that amongst a number of other areas of focus in safety, I think we're having a real impact. We had a new Head of Health Safety Environment, Heritage and Land Access join us in February, very strong pedigree in this space and he's having a huge impact which is great to see. I guess more broadly in terms of results, look, Greenbushes has had a really solid quarter as well. Yes, production was lower than the prior quarter. That's just grade and mine plan effectively. There's nothing to see there in terms of actual underlying performance. In fact and I'll talk more to it the performance continues to improve. Rob settled in and he's making tremendous progress there. As you see and you know already, this is a very, very strong ore body that offers up fantastic margins, 68% EBITDA for the FY '25 year-to-date. There's a range of operational improvements that are continuing, recoveries I'll mention, but that's all happening. And then I guess that broader strategic asset review and life of mine optimization work that's underway. Everyone's asked about dividends and there was a dividend paid from Windfield into the joint venture partners, US$110 million in the quarter. No surprise this business generates a lot of cash. It converts cash and that's going to flow out as we said. So even at the bottom of the cycle, even at the most difficult period for lithium businesses out there, this is a business that's still generating dividends. Kwinana, look, it was a tough quarter. The team was challenged with more equipment issues and shutdowns related to some of that work. The highlight I guess was the announcement of the Train two decision. Of course, I think one of the -- one of you on the call actually said, when bad news is good news and that was mixed. Of course, growth and of course development and more downstream processing of minerals and metals in Australia is attractive. Clearly, we have that view, but it's got to be economic. It's got to be sustainable. It's got to be something that can deliver through the cycle and we didn't see that pathway for Train 2. And so the joint venture partners took that decision which we've talked at length about at the half. Nova, look, as you know, had a very tough start to the financial year, had a good quarter and the teams found their feet. We'll come back to more about the forward-looking guidance on production. But overall, we're starting to get a better handle on the ore body and the way it behaves in its extremities, how we deal with the lower recoveries in high areas of MGO and generally speaking, more stable performance there, which is very good to see and the team is working hard to continue to improve that. And on the financials, look, it's nice not having to share impairments and other challenges. So, a simple quarter generating some cash and getting back to basics. So overall, sound quarter and it's good to see some rhythm from the key operations in our portfolio. If I just dive into Greenbushes in a bit more depth. I can't stress enough what an impressive mine this is. As an ore body, it's very privileged. We know that's world-class. The ability to generate margin in this commodity through the cycle and the cash conversion I think, puts it in a very unique space. 68% margin through this period is extraordinary and shows you just how capable this asset is. And that's all, knowing that there's still a lot of upside. And Rob is building out his team and building that momentum with the organization. He's making change at a steady and very sensible and very thoughtful pace. There is a lot of challenges to manage, as you make those changes. And some of you may have picked up the engagement, with the local residents in the community around dust, that was played out in some of the media in the last couple of months. That's the kind of thing that Rob is front-facing. And we know, that he is taking this very seriously. He's thinking about the non-technical risks. He's thinking about the impacts in a very practical way. He lives down in the region, and with his team he's -- I think the perfect leader to help steer through the growth and the development to pursue the opportunity but to do that in a way, that the impacts are managed very thoughtfully and the engagement with the communities and other stakeholders is done leaving them feeling like this is a significant contributor, which I believe it is to the region and to the local communities, but their voice is really heard and understood and the team is working through those challenges. So all credit to Rob and the Greenbushes or Talison team there, and how they're doing that work. Mill recoveries, look, I think I've mentioned before that, obviously it's a privileged ore body and that offers up opportunity. But equally, the team is doing a great job at continuing to drive recoveries up. And CGP1 is well above 80%. It's very impressive, what the team is doing there. And they're of course applying those learnings back into CGP2. And naturally, they'll want to carry that into CGP3 when it comes online. But I mean this is the benchmark in the world for recoveries, some really strong focus on that. And that includes plant throughput and just asset stability as well, which we all know is a key driver of recoveries and ultimate performance. I mentioned the dividend, which I think is good to see $110 million on a 100% basis. The broader optimization work is underway and I've got a bit more on that in a minute. And then capital expenditure, probably a key point to note is, we've revised down our guidance for FY 2025, we previously said $850 million to $950 million. We brought that back into $700 million to $800 million. And that's really a focus of again, the work that Rob has done is, he got in and work through this with his team and the Board's influence of course, strong focus on capital being really careful to prioritize capital spending money on the right things, making sure we get more value for every dollar that is spent, and being very frugal ultimately. We don't want to see the team hurt, asset health or not invest in sustaining capital. Of course, that's critical and we want to continue to see this business perform at its very best. But equally, we need to be very thoughtful with how we commit more capital in that space. So great to see that progress. I'm very positive about that shift down and I think you'll see that continued pressure and focus maintained. Obviously, it's what you'd expect at the bottom of the cycle. What we need to do is carry it right through the cycle, when the market turns and make sure that discipline stays in place. And CGB3, probably last key point on this slide is, it's tracking well on budget, as we've signed posted first production expected in the back end of this year. So, look moving on put in a quick slide, there's nothing new on this for anyone who's been through these kind of processes. It's not necessarily entirely unique, but it is significant for Greenbushes and Rob is progressing this. It will take some time to work through, all of the elements. But the slide and I won't go through every dot point, but sets out the first part, which is looking largely top down at what the upside is what is the full potential, what's the upside? What is it that we need to go and pursue and how do we prioritize that? And then breaking that down into the bottom up, which is when we say Phase 2, it's running in parallel. It's not to say that it's all staggered, but getting back into the model and building up that picture of the mine from the ground up understanding the ore characterization understanding the assets understanding the product demand and understanding how we get the very best value out of this business for the long-term. And I think the last blue box is absolutely critical. And I've talked about engagement with community stakeholders and the impacts. A lot of the non-process infrastructure and other non-technical aspects are fundamental and how we think about growth and the requirements around that non-process infrastructure is absolutely fundamental to get right. So having that done strategically in the long term and being able to look out decades not just a short period is really important for us to get the best value from this asset. And so what does all that deliver? And look this slide is nothing new either. I mean you can all put this together from the information you've got. But it just visualizes the leverage on this asset. And so yes we're generating great amounts of cash at this point in the cycle. But as that lithium price -- spodumene price moves the leverage is extraordinary. And this is a picture of this before CGP3 and before the improvements. And that's really the message, I want to leave you with is contemplate and we will do our best to unpack that as we go and we work through that with the joint venture partners what is that potential and what is it that we're pursuing? How can the asset deliver more productivity more throughput lower cost? How can we optimize that amazing ore body? How can we grow the resource reserve in a way that drives material value for the business? And that work is underway. And I guess the leverage where you're sitting so far down on the cost curve is very significant. Kwinana, look a couple of key points. I mean, covered LHP 2 ore Train 2. I won't go into that further at this point. There may be some questions. The quarter was challenged with some equipment failures and shutdowns also dealing with some of the residual work from the October shutdown. Conversion costs trended down and naturally tied obviously to volumes as well. But there's still some work to do there and capital guidance is probably the major takeaway here. We've revised that down for FY '25. I think that's important to note that we've got obviously a strong focus on CapEx here. It's not a case of just being an open book by any stretch. We need to be -- and are very thoughtful about where we allocate cash in this business. And both joint venture partners are equally attentive to this detail making sure the team are very careful, very well planned and execute each of their projects with a great degree of care to make sure we get the value for money that we expect. And you can obviously see in the guidance that's a fairly material step down from what was anticipated. On to Nova, look, it's nice to see the team find a feet and have a good quarter. They had some good recoveries. They got some better grade. They got some good rhythm. The team are working really well with Amino and all of that with much better safety as well. It made me smile. I look back on the quarter and it was just nice to see the team finding their rhythm and delivering. And that's continued into April, which is good. So I think we'll continue to focus hard and drive obviously that performance and we've got a high ambition right through the organization to do that to show the quality of mining capability that IGO has. They did have a very tough first half. And so this was great to see and I think all credit -- and gives credit and a recognition of the very hard work they've done through this financial year in a very difficult period with the ore body. It hasn't been kind to us. And so in a sense it's good that we're getting our hands around it. The big takeaway I think on this page is we've put in there some guidance out to the end of life for the asset for the mine 15,000 to 18,000 nickel tonnes through to the end of life, which is pretty much the end of next year. So we've been through the long life of mine now many different ways. We've looked at it through different angles. There is still work going on in our budget cycle at the moment to fine-tune that but we don't see any scenario where that changes. We think it's got good economics through the cycle, unless there's some major shock to the nickel market which we can't see. So we've got some real clarity and certainty and confidence around how it can perform. And we're just finishing the detailed budget work around that so we can look at costs. and manage that in that ramp down as we go. So overall a nice quarter for Nova and well done to the team. On exploration, look it's been a tough year. And IGO has got a long pedigree and a long history of exploration. It's where the company started. It has deep, deep capability in the team and some of the most capable individuals, scientists, geos that you could find. And we had a strategy which focused on these belt-scale tenements focused on very broad standing across Australia. And we've tested that as you know over the last 12 months. We've looked at where we stand, how we want to proceed, what we think will drive economic outcomes. And we've made a major change to the operating model to the structure of the team, to the size of the team and we've rationalized that portfolio of tenements heavily or in the process of doing that. That's been a very challenging process to go through. I mean the team has done exactly what they're asked to do and done it extremely well. They were responding and delivering against the strategy of the business and we've changed that. And that's created impact for individuals, which is why I haven't wanted to talk about it in depth up until this point. I think it's just not ideal or respectful to do that, until we've been through the work but that's now complete. So March, while this quarter was a tough period for the team, very sad to see, very long-term team members leave who've contributed a huge amount to the business and I want to thank all of them who have been part of the team. Those that stay equally feel that challenged probably more than most. And it's still a difficult time as we get through that. We finished the rationalization, but I have deep conviction here. And Brett has linked into this personally. We've also had a change for the Head of Exploration. John Kilroe has been appointed. He's got a very long pedigree in this space and worked right across Australia and beyond a very capable individual to lead the team. Brett has been personally involved. And I think look it will take us a bit of time to find our rhythm again, but we've got conviction. We've got a focus. We've got a very good plan. We've looked at this really hard. And we've also as part of this got some guidance for you going forward on what we think our expenditure will be in this space. And we've indicated next financial year and onwards effectively is in that sort of good guidance range of $30 million to $40 million. We've put that out there to sort of say look this is where we think the right sort of investment fits based on our understanding of other tenements that we hold, where we think we can make a difference and what's appropriate for the scale of our business. So that's -- as I said been a tough process, but it's good that that's behind us and we're now in a place to look forward with a lot of confidence for exploration. On the financial results, look not a lot to cover there. I mean, obviously last quarter was heavily overweighted by the impairments on Train 2 and Train 1. This is a cleaner quarter where you can kind of see the underlying numbers and cash starting to flow through. I note that some of that's tax return, which is just a function of cash timing from last year. But ultimately through the cycle, we are generating cash and covering our corporate exploration and other costs. You'll be aware, of course, that we're still carrying real costs for the care and maintenance activities at Forrestania and Cosmos. So all of that taken in we're still in a very strong position and our balance sheet continues to stand well behind us as we look forward and pursue a lot of really exciting opportunities with Greenbushes Nova and beyond. So look just to wrap up, I mean, I think I was reflecting this is sort of effectively 12 months of full cycle, since I did this April 2024, as my first full quarterly. And it's been a tough 12 months. There's been a lot of change. There's been a lot of hard decisions that we've had to take as a team and that's really difficult when you come in and you work through so much so quickly. And that definitely leaves people feeling challenged and uncertain and anxious and knowing what's the future of the business. But I think what we're starting to see now is a much cleaner view of what is IGO and the capability of IGO and the potential with Greenbushes. We have a fantastic leadership team and fantastic organization world-class asset in Greenbushes with huge upside and Nova in a stable place to deliver cash right through the end of next year and a reset exploration organization to go and pursue and help us find some exciting growth. So I'll leave it there and open up for some Q&A.
Operator: [Operator Instructions] Your first question comes from Hugo Nicolaci from Goldman Sachs. Please go ahead.
Hugo Nicolaci: Good morning. Thanks for the update this morning and the extra detail in the release and particularly just around that Windfield dividend to the partners great. First question just on the CapEx reductions at Greenbushes and Kwinana. Now that you've completed those initial spending reviews, can you just elaborate on where those CapEx reductions have come from at Greenbushes and how we should think about that whether that's more a deferral or reduced spend? And then at Kwinana as well, what you think the ongoing spend at Train one now looks like beyond FY 2025?
Ivan Vella: Thanks, Hugo. Look, I can't give you – it's a list of things for Greenbushes. Rob and the team have basically stepped back, looked at the portfolio and gone through it with a fine tooth time and challenged all of the projects. So some of it will be timing, where does it fit in the pipeline and some of it will be we don't need to do this. Now I don't want to get into specifics. I'll give you an anecdote as an example, there was some plans to pay certain car parks and they decided that wasn't required. There will be certain facilities that they might have wanted that they said look, we don't require. So it is both deferral but – and it's not a case of as I said pushing things that impact asset health. I mean I'm one of the biggest proponents and I've lived with many assets where that has happened and it is painful. And I won't – that's not who I am as a leader. And as a Board Director, I'm a strong advocate for us maintaining and putting the right investment into our assets to make sure they're healthy. Rob is that kind of leader as well because he's also lived through those issues. The other Directors are as well. So I have complete confidence that we're not cutting corners here. This is about us just being really disciplined and frugal and thoughtful with our CapEx. The other lever that he's pulling is he's challenging value for money. He's saying, well what is the right amount to spend on that? What is the right standard? How fast should we go on that particular requirement? And so we're both looking at CapEx intensity and allocation. And I think this will only continue to improve. There's a committee that goes through this very closely with the business. And it's all the things that you would expect from strong capital governance, strong discipline in the way that they allocate that cash. With regard to Kwinana, I can't give you guidance yet. We will next quarter once we update there. I think it's fair to say that we've got a very, very strong focus on any additional capital there. We want to make sure it's extremely clear what difference it will make, why it's being spent and the engineering and science and thinking behind that. So I can't give you numbers at this point. I will as soon as possible. I appreciate you want more certainty there and we'll give that to you as soon as we can. But just I guess be confident that we have got a huge focus on every dollar that's spent on the refinery.
Hugo Nicolaci: Okay. Thanks. And just segueing across to another one on Kwinana then. If I look at the overall production piece, I appreciate you still got some repair works to get through in May. But if we look at sort of the discount for non-battery grade hydroxide at the moment, it looks relatively small. Is there an opportunity to ramp up more unqualified material there to try and improve sort of the unit economic piece? And then just as a tack on can you maybe clarify how much government assistance you got in the quarter there as well?
Ivan Vella: Yes. Look, the team are trying to move as much because we have got inventory as you know and they are absolutely trying to monetize that and drive our working capital down. So that's happening and they're looking at a range of channels to do that. And I think with TLC's connections and support and guidance in the market that's really going well. On the second part of your question.
Kath Bozanic: I'll jump in there. We got back pay during the quarter so that impacted EBITDA. It was in the order of about $8 million and we'll see that continuing to come through but at much lower levels just for the quarter-on-quarter.
Ivan Vella: Yes. Thanks, Kath. I was going to say so that's the numbers I didn't have at hand. But there's, sort of, a new program which maybe everyone is not familiar with the West Australian government launched late last year and we've applied and received that support. It's quite material. I don't have the exact quantum because it's effectively an offset on a number of things like utilities and other costs that we would incur, but it is quite material and very well received and we're really pleased with that support from the West Australian government. And so maybe we'll look into that to see if we can give you more clarity on that for the next quarterly from a forward-looking point of view so you have another sense of what's coming.
Hugo Nicolaci: Got it. Thanks, Ivan and Kath. Best luck.
Operator: Thank you. Your next question comes from Kate McCutcheon from Citi. Please go ahead.
Kate McCutcheon: Hi. Good morning, Ivan. Kwinana Train 1 this is the first time that you've said in writing about discussions for an acceptable Train 1 pathway have been pulled forward. Sorry, discussions for an acceptable Train 1 pathway have been talked about. CapEx has been pulled back. There's another AUD 80 million going into TLA this quarter that won't make its way to IGO shareholders this half. How do we think about the bookend of options here? Is it care and maintenance, continuation one party consolidating ownership or all of those on the table and possible timing if you can say?
Ivan Vella: Yes. Kate unfortunately let me deal with the last point first. I don't have any time frames. I know you'd love that. I'm sorry I can't be more specific there. Look, I think, we're working through -- I sign posted this at the half that we are talking with TLC about Train 1. We have concerns about its capacity to perform. And that's both technically history and also the market it's in. And we are talking about a full range of options of what might be a solution. I think the important thing to note though is as we stand today it's operating. We have a team there. They're working hard to make it perform and we're all behind that. Both shareholders are supporting the team in that way. But of course we know we have to look at and think about what's next and where there's differences of view between the two shareholders we need to work through that in a respectful and thoughtful manner and that's underway. But I would say there's no one option or one answer to this for us or from my point of view naturally every extra dollar of cash that gets consumed by Kwinana that doesn't drive value is undesirable. So we are extremely impatient and driven to see that change. This business has had enormous investment since we became a joint venture partner. And I think we've been extremely patient and supportive. We remain supportive of the team and the work they're doing, but we cannot continue to just spend money without a clear path of where that takes us economically. So I know that's not being too specific. Fair to say, we're working through this as I said in a very thoughtful way with our partner. And as soon as we've got some more news or more clarity we'll give you that. The important takeaway being that we are operating team is doing a great job trying hard to improve that performance and we're right behind them until we take any other decision.
Kate McCutcheon: Okay. That's helpful. Thank you. I know I ask you this every quarter. And then the Winterfield balance sheet thanks to the additional disclosures for March quarter. Albemarle said they didn't expect to pay a dividend this calendar year but we have one. And it looks like net debt increased $70 million quarter-on-quarter. And I can see that after the dividend there was cash generated in that asset. But just a strategy around drawing down debt by another USD 360 million quarter-on-quarter if my math is correct. How do we think about gearing of that asset as the CapEx then rolls off into next year? And also your JV partners have very differing balance sheet positions to IGO I guess. Anything you can say around that would be helpful.
Ivan Vella: Yes. Let me comment broadly and then maybe Kathleen can get into some of the specifics. I mean debt bundle there and the team will draw on that where they think is appropriate funding CapEx and growth which -- and you can see if you pull all the numbers apart the company -- the business was net cash for the debt aside. And I think that's the first takeaway that this business is generating cash. The application of the debt for that growth CapEx and the timing of it when you think about Australian dollar US dollar terms, we're making really thoughtful decisions here. And while the debt is U.S. dollar-denominated it's not drawn ofcourse that does create some opportunity for us, and Luke and Rob are very conscious of that. So there's no sense here that we want to overdue this asset. The partners are all very aligned and very cautious on that. We look at these things with a great deal of care. All of our ratios and covenants are well in under. So we're in very good shape. So I would say that this is just being very prudent thoughtful and actually it's quite value accretive when you think about how we're applying that debt in the business and the timing of the drawdown. Kath do you want to go on that?
Kath Bozanic: I think you've covered most of it. But the one thing I'd say, Kate, or reiterate is the debt is there to fund the capital. And as CGP3 comes to an end then the capital profile is going to look different. We've got very strict or the joint venture has got very strict capital management there and manages gearing ratios, leverage ratios, liquidity levels, very thoughtfully and looks out 18 months. The balance sheet is strong and I don't believe overleveraged at all. And our intention is not to be there. This is a very important asset for us, but it also is – it looks the best cost of capital on the way to fund these things and that's no different to any other miner. So I wouldn't set expectations that that debt is going to grow significantly. It's going to be utilized as Ivan said in a thoughtful way during that process and also keeping a very close eye on those various swim lanes that we work in, in order to that. And surplus cash gets distributed once you look at that to the joint venture parties as you have seen in this quarter.
Ivan Vella: And if you pull up the 24 accounts, which have been posted by Talison-Winfield recently and you just do the like-for-like I mean actual net debt -- if you look at the cash balances, the debt it changed US$75 million I think in the quarter. So it's pretty material in real terms when you pull it apart. Your comment on the dividend, look, I'm not sure I can't comment on Omar's [ph] remarks there. Look this business generates cash. It's a great asset right through the cycle. If the lithium price moves, it just gets even more exciting and even better. And I don't see any reason why we should expect otherwise. As you know late this year, we have another huge chunk of production starting to come online and couldn't be a better time to be honest when you think about the run into 2026 where we probably all expect to see the market more in balance and some improvements or better set of drivers for spodumene and lithium price.
Kath Bozanic: Kate, just to add there off the back of that if you look at Albemarle's most recent earnings calls and both the conference materials, they actually earmarked that they would be it's a more normal kind of dividend return is what they're earmarked. So even though they said late last year no dividends they've actually earmarked in their announcements and public information a softer tone to that.
Kate McCutcheon: Okay. That’s helpful. Thank you, Ivan and Kath.
Operator: Thank you. Your next question comes from Levi Spry from UBS. Please go ahead.
Levi Spry: Good morning. Thanks for your time, Ivan and team. A couple of questions about Greenbushes, key value driver for the business, I guess just on this CapEx, sort of, reduced CapEx just confirming that there's no deferral of any of the growth plans when it relates to CGP3. And then I saw a headline in your paper over there about some submission for some permitting. Can you confirm that was for Train 4 or anything to do with CRP? Just talk through the growth plans there. I guess that's the piece that's missing from slide 5.
Ivan Vella: Okay. Sure Levi. Yes look, yes no change. And as I said in my opening remarks, CGP3 is tracking well. First production expected back end of this year. So that's fine and I think that's well in train. And there was obviously a bunch of money spent on it through the quarter and construction is getting to the end they'll be into their pre-commissioning and so on soon. So that's fine. And yes, there's no back off on plant growth all the things that are already in focus there. And I talked about the efforts on Train 2 of CGP2 and CGP1 improving throughput, improving asset health, all of those kind of things continue to get focused the same in the mine. The approvals and some of the media you've seen around EPA submission speak to some of those non-process and process infrastructure that you'd expect as you grow any business and that includes, obviously, our waste -- store waste dumps for rock -- waste rock and we've got to think about that in the near term and the long-term so how we do that. There's also work going on around water and I've mentioned that in the last call. So we obviously, draw no groundwater, it's all surface and runoff. And so lifting dams and creating more water catchment is all work that they're thinking about. And of course, the third big area is tailings and tailings storage facilities. And we're in good shape now but we do need to think about the long-term as well. So those are examples or areas where the team are going to continue to need to build out their strategy, and then have those plans and the specific assets and growth of those assets approved stage-by-stage. And that's part of what's been picked up in the menu at the moment. So, no surprises also, to plan tracking well. Rob's got -- he's got a full book. There's a lot going on for him. But there's no dial back on growth. That's not the cause for the CapEx. It really is about discipline, focus, timing, and in the sense of, if we don't need something now, let's push it out and also value for money.
Levi Spry: Okay. Thank you. And so just on CGP3 then, can you remind me what the expected ramp-up time is for that?
Ivan Vella: Look, we haven't given any specific detail there. Look, you could expect it's about 12 months. That's a normal ramp-up for those types of plants. The team will give us a more detailed schedule in due course and we'll share that where we can. Naturally, we want to run hard. For those who've covered IGL or Greenbushes for some time now, you'll remember that CGP2 was interrupted in its ramp-up on and off and really didn't have a great start to life, which is very hard for the asset and for the team. We certainly are not anticipating anything like that here. This is about run it up hard, maximize the throughput and production as quickly as possible get it, delivering full value as fast as possible. So I think we've got a very clear goal for the team and they're well-resourced well set up. They've got a great plan, and I think they'll deliver extremely well against that.
Levi Spry: Okay. Yes, thanks. And on the optimization, thanks for the extra couple of bits of detail. Will we get some more throughput and some of the other inputs I guess? And just can you confirm that you're still producing technical grade? I know you don't reference it in today's call.
Ivan Vella: Yes. Well, yes, to both questions. Yes, we'll give you more details in due course as that flows through. And yes, we are producing technical grade.
Levi Spry: Okay. Thank you.
Operator: Thank you. Your next question comes from Jon Bishop from Jarden. Please go ahead.
Jon Bishop: Good morning, Kate and Ivan. Thanks for taking questions. Just to take Kate's question a little bit further. Are you able to disclose whether there's any prescribed amortization profile for the debt and/or milestones to trigger principal repayments within Windfield?
Kath Bozanic: It's a revolver facility. So it doesn't actually have debt repayments through the course of it. And obviously, it will have standard covenants that you would expect but they are so far well within the remit that there's no risk there.
Jon Bishop: Okay. So in terms of what you answered previously then I guess there's a sort of a high-level agreement amongst the joint venture as to how you will treat those gearing ratios going forward in terms of any forecast repayments. I guess, what I'm getting to is, how should we start to manage our forecast for cash retiring that debt position once CGP3 is finished for example?
Kath Bozanic: It's got a 4-year term. So, I would be thinking about that and we will manage it within our leverage and gearing ratios. And we will consider what that debt refinance potentially may be closer to that.
Jon Bishop: Thank you. And then just regarding some logistics. Obviously, you had about 80,000 tonnes missed inverted commerce between your production and sales figures for the December quarter. There was a bit of a catch-up this quarter. How do we sort of think about that production and sales piece going forward certainly as you expand production out of Greenbushes? Is there going to be sort of a reasonable amount of volatility? Or is the port reasonably well set up to manage that increase and therefore we should expect generally all things being equal, a normalized production and sales moving in lockstep?
Ivan Vella: It's a fantastic question, Jon. We would love it to be in lockstep and our customers would love it to be in lockstep as well. The last thing we want is inventory and working capital build the challenge is the port as you've noted and that's one of Rob's other areas of work that he's been down there and working with our partners in the port. It is difficult. There are congestion and there's a lot going on. So, he's working on options to try and just help improve that and smooth out our logistics path I'll call it, because as we grow the volumes that just becomes more challenging. Yes. And as I said in the last conversation we had in the half and the quarterly, there was some concern around sales. It's just timing and logistics. It was just shipments. And particularly with Christmas, you get some of that. It's painful, but there is a very clear intent to just clear the product as quickly as we can. And the last thing we want to do is have any missing or delays.
Jon Bishop: Great. Thanks very much. I'll pass it on.
Ivan Vella: Thanks, Jon.
Operator: Thank you. Your next question comes from Daniel Morgan from Barrenjoey. Please go ahead.
Daniel Morgan: Hi Ivan and team. Just a quick follow-up on Levi's question regarding how CGP3 would be ramped up the pace of it. I just wanted to explore that a little bit more on the market piece. Obviously, we're in a very soft market right now, putting a lot more volume into the market is not going to be necessarily helpful. Just wondering, if your views on ramping it up are IGO views or is the broader alignment within the JV about the ramp-up in light of the market? Thank you.
Ivan Vella: Well, I just restate Daniel what I said to Levi ramp it up as fast as we can. I think it's complete alignment. That's what drives value for us. And you've got the lowest cost producer in the world. Every tonne is highly value accretive and that's what we'll be chasing. So, yes, there's no blinking there. We're not someone who's going to be cautious or careful around timing the market here. This is about get the asset online and get it producing because every tonne it produces is going to generate cash.
Daniel Morgan: Okay. That’s clear. And just second question. It's good to see a life of mine plan at Nova into end of life. It's obviously not great that it ends its life, but every good thing comes to an end. It has a few more tonnes in it than I had thought given that there's been some variable performance in recent times. Just wondering, if you could expand on this plan, how robust is it the risk embedded in it? Or should we expect still quite a bit of volatility in the end-of-life plan? Thank you.
Ivan Vella: Yes, Daniel, good question. Look, I didn't put that out lightly. And I know it was an issue or a challenge for you guys. That's why we wanted to give you some more directional -- give you even more next quarter. We've stress tested this really hard. We've gone over very carefully. Our tech team who is very capable have gone through it thoughtfully looked at the ore body looked at the kind of issues that we've been experiencing and how they'll play out. We have risk-weighted this, so do I sit here and go, it's absolutely certain of course. We know in mining that things can happen. But no, we're putting this out with some confidence. That's why it's a reasonably wide range I would say given the level of work we've done. And that's probably a little bit of me and just caution and cash of how we do things. We don't want to disappoint. But we've done a lot of really good homework. And we're comfortable and confident to put that out as a range.
Daniel Morgan: Thank you. And just last question on exploration. I mean, you've guided to what a go-forward kind of looks like in that space for 2026 beyond, I presume. Just what are the business outcomes that you're trying to achieve? Like why is this, the right number? And what's the return we're going to get on this capital going forward? Thank you.
Ivan Vella: Yeah. All right, I mean, maybe we pick that up in more depth on constant time in our next quarterly or next opportunity to talk more broadly or even get one of the team in to help support that. But we've done this work both top down and bottom up. In terms of value, clearly, we want to be defining resources and putting them in play whether they're ones that we develop or not is beside the point. We have got some very prospective ground that we're working on across our portfolio. I think it's a significant change in approach from where we were in terms of how we're prioritizing sort of a commercial focus that's being built-in across exploration. And for me, I think there's two ways I look at it. One, fundamentally we need to bring more critical minerals to the market. And that isn't about just moving the deck shares around through asset ownership. It's about actually discovering new ore bodies and getting them out of the ground in a responsible manner as quickly as possible. That's something we're deeply focused on. And want to make a difference and demonstrate our capability. I think our team has got absolutely world-class pedigree in this area. We set them up for success. I think give them some runway and they'll deliver. Second part, of course, it is the return on investment. So we think about this as capital as an investment and we've gone through it with a view of what's appropriate for the scale of our business. We've looked out five years. And we've said, what does our business look like? What are the sort of scenarios? And what's the right sort of envelope? And this is the number that we've come to. So that's hence the top down and bottom up. I feel like this is an appropriate number. It's material. Don't get me wrong. We recognize that if we look across our peer group which we've done we're a standout for greenfield and we've got capability and focus here that we think will drive real value for our shareholders.
Daniel Morgan: Thank you, Ivan so much.
Ivan Vella: Thank you.
Operator: Thank you. Your next question comes from Matthew Frydman from MST. Please go ahead.
Matthew Frydman: Sure. Thanks, morning, Ivan and team. Thanks again for the disclosure and the discussion on the capital management in Windfield and the dividend flow out of that vehicle. I guess if we take that down to the next level and look at TLEA clearly as you've called out the cash burn is still real, but at least perhaps it's a little bit more normalized or stabilized compared to prior quarters. And certainly as we know there's no need to build the balance sheet for investing in Train 2 now going forward. So I guess the question is, is there anything in your view that would preclude a resumption of dividends out of TLEA say in the first half of FY 2026? Is there any major shutdowns or remediation works on the horizon or any other need in your view to be building cash on the TLEA balance sheet? Thanks.
Ivan Vella: Well, the quick answer is no. There's no standout to build cash. And we need to make sure we've got the liquidity and the cash to support the business and to support the forward work. I think you've got enough information that you can sort of sit back and work out what the cash requirement is. And beyond that there will be no reason to hold cash. So we're not guiding on dividends into the next financial year at this stage. We'll provide more when we can. But no, there's nothing, I guess, what I would leave you with is nothing that's unique or special or that you need to be aware of that you should model in that space that's out of the ordinary. It really is just run the business as it is do the work that we've got indicated and the rest of the money will flow out to the shareholders.
Matthew Frydman: Okay. Thanks for that, Ivan. And then, I guess, rather than looking at it from an operational perspective maybe more from a I guess, like a philosophical or from a sort of capital management framework perspective. Obviously, you've done some work in the Windfield JV to establish a really kind of more firm capital management framework. Does that exist within TLEA? Is there more work to do there? And I guess is that part of the ongoing discussion that you're having with your JV partner there? Is there anything we should think about from that perspective at the TLEA level?
Ivan Vella: Yes absolutely. That's exactly the focus. And yes that work is underway.
Matthew Frydman: Okay. Great. Thanks very much, Ivan.
Ivan Vella: Thanks, Matt.
Operator: Thank you. Your next question comes from Rob Stein from Macquarie. Please go ahead.
Rob Stein : Hi, Ivan and Kath. Just pointing I guess the Greenbushes optimization slide that you put in the deck was interesting. In the sense that where would you be if you had to sort of benchmark yourselves in industry maturity along the, I guess, scheduling and equipment design and operational management parts of the chain there. Obviously, you're looking at strategic options reviews and you've got the size of the prize that you're looking at. But just interested in how big the next steps are to get that benchmark productivity specifically around mine planning I would like to understand that.
Ivan Vella: Rob, look good question. Well, I have to think about how we can give you a more substantive answer. I would say and I think I've indicated, I think the opportunity is significant. Rob is already with the team making good progress on day-to-day improvements on productivity both in the mine and the mills. But when you stand back and say what is that potential and how you get at it's significant. And some of those changes will take time. The optimization of that ore body I don't want to try and even signpost, because I just don't -- I think we don't know what we don't know. We need to do the work on all the characterization. You need to do the mine-to-mill optimization. You need to understand that much better. And I think we've got a fantastic team technical team in the mills doing work pulling recoveries up, but I don't even think we've unleashed them yet. I think if you give them more space and more support in terms of influence back into the mine I think that can drive huge upside. But then translation of how that then unfolds and how you might change your schedule and sequence through the mine, there's no point in me commenting because we're just making it up. We just have to do some more of that work before we can indicate. I guess what I want to leave you with is I think it's significant the upside. And I also think there's going to be quite a bit of hard work to get to. So I'm not I don't want to sort of indicate that Rob's got a couple of tricks up his sleeve and then all suddenly all this change but he is doing the day-to-day work now and I think building out a very good long-term plan to drive a lot more value.
Rob Stein: And I guess a subsequent point just looking through then the quarterly results seeing the production result down Q-on-Q. Is that just a refocus on mine plan and sequencing to open up the ore body to get access to more fresh feed as you look then to obviously bring on CGP3 in the coming quarters then the mine plan is actually set up to achieve from the outset? Is that how we should look at that given that you -- yes, I think 78% of your annual guidance has been achieved or the midpoint of annual guidance has been achieved on production? So you're well sort of ahead there. Is that the way to look at it?
Ivan Vella: Yes. We -- I mean, I think, we indicated last quarter and a half as well that we expect to be right at the top of guidance. And I think there was a push of why aren't we going to re-guide above that because we looked at the forward plan we said look we think we're just going to land that's based on what the mine plan was. This is just grade variation which you do get in that ore body as privileged as it is. You will see that up and down through a year through a couple of years of grade. One of the things that we might obviously see come out of the optimization is that we want to blend and stabilize that more and that might drive a lot of value. But at this point we're still seeing that variability of grade through the mills and that drives differences in production. So nothing more than that. It's not something you should draw a line up or down off. It really is at this point just how the mines run. And I think that signals or signposts a very likely opportunity that smoothing that out and having a more consistent feed will drive better outcomes and better value overall.
Rob Stein: Ivan, thank you.
Ivan Vella: Thanks, Rob.
Operator: Thank you. Your next question comes from Tim Hoff from Canaccord. Please go ahead.
Tim Hoff : Hi. Thanks. Good morning. I was just following up from the question from Levi. The permitting has been submitted for the waste storage expansion at Greenbushes and it shows that it's going to be impacting Black-Cockatoo Habitat, which there's been a few issues with your peers at South32 and Alcoa. What's the timeline for the approval? And given the submission points to this being needed in 2026, are there contingencies in place to handle the 70-odd percent of material that it points to -- or waste storage capacity that you need?
Ivan Vella: Yes. Thanks, Tim. Look the approval timelines, I mean, I can't really comment because obviously the agencies will determine that. The team are very aware and attentive and focused on that. They've done a lot of work. They're very well prepared. I think they've engaged extremely well here. So, they're set up for success. And we do have some, I guess, contingencies as you put it or we've got a plan, if there was to be some critical delay, but the focus is to get through the approvals and manage the impacts professionally and we'll get the outcome.
Tim Hoff : Okay. Excellent. And perhaps one for you, Kath. At Greenbushes, your accounts receivable terms have moved to 180 days and there's some factoring of sales. Is that just a part of that liquidity management that you mentioned? Or is there something else driving that change? And is there any impact on received pricing there?
Kath Bozanic: The answer -- the simple answer to that is, no, there's nothing unusual in that. But what was the second part of that question? I missed it, sorry.
Tim Hoff : Does it impact the price you receive? Like is there a factoring of price?
Kath Bozanic: No, it's just doesn't.
Ivan Vella: No, I mean, it's just working capital, but the price is determined on that month -- month minus one lag is the full PRAs, et cetera, very deterministic and that's applied regardless.
Tim Hoff : Okay. Excellent. Thank you very much, guys.
Operator: Thank you. Your next question comes from Jonathon Sharp from CLSA. Please go ahead.
Q – Jonathon Sharp: Yes. Morning, Ivan and team. A lot of questions already asked and coming up to the end of the hour. So just one simple question from me. Can you just share your current view on the lithium market, particularly what you're seeing in terms of customer demand, inventory levels any discussions around spodumene and hydroxide? Just interested to hear, what IGO is hearing and seeing, out there at the moment. Thanks.
Ivan Vella: Thanks, Jonathan. Look, I don't think, I've got much to add that you wouldn't have already. We see strong demand growth. And obviously, China is doing a fantastic job building storage both for EVs, and for vehicles, and for stationary storage. That growth is continuing to track to expectations. And obviously, there are some other markets in the world, which are contributing as well. For us, it's really more a supply-side issue, and the market is oversupplied and hence, the price pressure we see. In terms of conversion to chemicals, I think that the demand is obviously quite strong for carbonate less so for hydroxide. And again, we see that flow through in the pricing. I really don't think there's much, we can add to what you probably got through the channels. We see a very consistent view, and don't expect much relief or much change this year, probably well into next year. Maybe this time next year, we might start to see the market balance come back. But demand -- I guess the key is that demand continues to grow at rate. It's not been interrupted or disrupted by any of the other things going on in the world. It seems that that demand is pulling through and performing extremely well. And I guess, with low lithium prices, there's probably a strong correlation there. It translates to a flow-through in the value chain, that's very interesting for customers.
Q – Jonathon Sharp: Yes. Thanks. Interested in your thoughts. I’ll leave it there.
Ivan Vella: Thanks, Jonathan.
Operator: That is all the time we have for questions today. I'll now hand back to Mr. Vella for closing remarks.
Ivan Vella: Great. Thanks, Darcy. Yes, look, we're right on time. So I won't say much, other than thanks for joining. As I said at the top of the call, look, it's nice to not be waiting through major challenges and changes, and impairments and so on. It's nice to see a quarter focused on the assets, focused on production, focused on safety. And the big news in there, I think is about exploration and the reset there and really pleased with the way that the team has gone about it, and forward-looking I've got a lot of confidence in what that will bring. So, we'll leave it there. Thanks for your time, and I look forward to the next update at the end of the financial year.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.